Operator: Good morning, and thank you for holding. Welcome to Vislink's Third Quarter 2024 Earnings Results Conference Call. My name is Chris, and I will be your operator for today's call. Joining us for today's presentation are the company's CEO, Mickey Miller, and CFO, Mike Bond, who will report results for the second quarter ended September 30, 2024. A copy of the press release is available on the company's website. Before we begin today's call, I would like to provide Vislink's safe harbor statements, which includes cautions regarding forward-looking statements made during this call. Management will make statements during the call that include forward-looking statements within the meaning of the federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical facts should be deemed to be forward-looking statements. All forward-looking statements, including, without limitation, our examination of operating trends and financial expectations are based upon the company's current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not rely on these statements. For a list of these risks and uncertainties associated with the company's business, please see the company's filings with the Securities and Exchange Commission. Vislink disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information that is accurate only as of the live broadcast this morning, November 14, 2024. At this time, I would like to turn the call over to Vislink's CEO, Mickey Miller. Please proceed, sir.
Mickey Miller: Thank you, operator, and thank you, everyone, for joining us today. This morning, we filed our Form 10-Q with the SEC and issued a press release that provided our financial results for the third quarter ended September 30, 2024, along with key business accomplishments. As a brief overview for today's call, I'll start by discussing our third quarter performance and highlighting our progress toward our three-year financial goals. I'll then pass the call to Mike to discuss our financial results. Afterward, I'll return to discuss recent updates within our key target markets, product developments and our go-to-market strategies. I'd like to begin by reaffirming our three-year financial and operational goals which are central to our overall strategy. These objectives include maintaining our strong position in Live Production, while accelerating growth in the MilGov sector and our recurring revenue services business, with the intent to achieve cash flow positivity in 2025. We are pleased to report that our year-to-date revenue has increased over 26% compared to the prior year. The results recorded in the third quarter alone reflected a temporary decline in revenues compared to the prior year, primarily caused by unusually high seasonal softness in the Live Production sector. We believe this is primarily driven by broadcasters focusing on the 2024 Summer Olympics, which led to several non-Olympics projects being put on hold. We also experienced some delays in procurement activities for new programs in the Middle East region due to heightened alert status caused by regional geopolitical tensions. We expect these activities to return to their usual pace in the coming months. This quarter brought several encouraging developments, signaling strong growth opportunities ahead. Bookings within the MilGov sector continued to gain momentum, fueled by increased demand for our solutions. We currently have numerous field product evaluations underway across local, national and international law enforcement and defense agencies. This reflects our strategic commitment to ensuring public safety and maintaining a tactical edge. Our airborne video downlink systems, powered by the industry-leading AeroLink transceiver and the Air-to-Anywhere solution, continue to set the benchmark for unparalleled reliability, efficiency and performance and surveillance and emergency response. We take pride in having our downlink solutions deployed in some of the most demanding and high-profile environments around the world. Recently, we initiated the deployment of our systems with the U.S. Department of Homeland Security. We also secured an order from the D.C. Metro Police Department and our technology is set to play a key role in supporting law enforcement at the 2025 G7 Summit in Alberta, Canada. Additionally, we received a major order in Brazil for our downlink solution, which will be used for police and surveillance operations utilizing our bonded cellular technology. With expanding opportunities across global MilGov markets, including the U.S., Europe, the Middle East and Africa, we are well positioned to build on this momentum and drive significant revenue growth in the coming months and years. In the third quarter, we launched a new ERP system to unify and optimize our core operations, driving greater efficiency across the organization. This system enables us to initiate a restructuring program to reduce significant costs, delivering annualized savings of over $6 million starting in Q4. While we are pleased with our year-to-date revenue growth, we've proactively responded to signs of near-term revenue softness by consolidating operations and strategically positioning ourselves for continued growth in the MilGov sector. As part of this effort, we are consolidating our manufacturing facilities into a single location and streamlining our organization to better support our target markets. These actions are designed to eliminate underperforming product lines, optimize staffing and align our resources with the company's long-term objectives. We remain committed to identifying additional opportunities for cost reduction. Before I proceed with further updates, I'll pass the call over to our CFO, Mike Bond, to provide a detailed overview of our financial results for the third quarter. Mike?
Mike Bond: Thank you, Mickey, and good morning, everyone. Looking at financial results for the third quarter. Revenue in the third quarter was $7.1 million compared to $7.2 million in the third quarter of 2023. Revenue for the nine months ended September 30, 2024 was $24.4 million, an increase of 26% over the prior period. Gross margin was 51%. That's down from 54% in the prior-year period. Net loss for the quarter was $3 million or a negative $1.22 per share. That compares to a loss of $2 million or a negative $0.83 per share in the prior-year period. This was a result of lower-than-expected revenue in the quarter and higher fixed costs across the organization. Total expenses were $10.3 million compared to $9.5 million in the prior-year period. Our Q3 expenses reflected an increase in costs associated with personnel required for the ERP implementation, which ramped up during the quarter, as well as higher expenditures for strategic R&D investments. Turning to our profitability measures. Operating loss was a negative $3.3 million compared to a loss of $2.3 million in the prior-year period. Net loss attributable to common shareholders was a negative $3 million or a negative $1.22 per share, compared to a loss of $2 million or a negative $0.83 per share in the prior-year period. Moving to our balance sheet. As of September 30, 2024, our cash and short-term investments stood at $9.2 million compared to $11.5 million in June 30 -- at June 30, 2024. Working capital was $27.1 million at the end of third quarter compared to $31.8 million at June 30, 2024. The company expects to see improving working capital performance in the coming periods, primarily due to better vendor terms through consolidated purchasing, shorter installation and customer acceptance periods for large systems implementations and better inventory management, all driven by the new ERP system implemented in the third quarter. That concludes my prepared remarks. I'll now turn it back to Mickey.
Mickey Miller: Thanks, Mike. Returning to operational updates. Our MilGov markets remain on a strong growth trajectory. Our strategic initiatives to grow in this market are continuing to bear fruit. Currently, half of our sales funnel with a 40% or higher probability are MilGov opportunities. This represents a significant shift for a market that historically accounted for less than 30% of our revenue. It is important to note that this is not a result of a decline in our Live Production funnel, opportunities in both markets continue to grow. We project over $9 million in MilGov bookings for 2024, which would represent year-over-year growth of over 60%. Our success in the MilGov sector is driven by our airborne downlink systems, which are market leaders in delivering real-time video intelligence for critical missions. AeroLink, our aircraft-based transmission unit, has become the cornerstone of our downlink solution. In fact, the growing popularity of AeroLink is helping drive sales of other components in our downlink system. Once law enforcement and defense organizations experience the enhanced image quality, lower latency and other capabilities of AeroLink, it often leads them to upgrade their ground infrastructure and other components of their transmit and receive systems, including migrating to our Air-to-Anywhere secure streaming platform, ensuring an optimal situational awareness for all stakeholders. Further, the release of our Aero5 bonded cellular solution addresses the needs of those customers interested in leveraging the public cellular infrastructure. We believe the drone public safety and defense industry is well positioned for growth, driven by increased defense spending in formalized policy. Enhanced investment in R&D for autonomous systems, and secure communication technologies will drive innovation, positioning companies to lead in advancing global security and uncrewed solutions. We view this as an exciting trend and believe that the increased investment we've made in drone command and control position us to capitalize on emerging opportunities in this sector. We are taking steps to enhance our visibility as a thought leader in the sector of uncrewed communications and to engage more with key players in the market. Turning to our services capability, we continue to focus on driving more recurring revenue through service-level agreements for 24/7 support, depot repair and software upgrades. Less than 10% of our product base is covered by an SLA. We see tremendous upside in this area, and we'll continue to invest to create a capability to support our global customer base. In December, we will introduce the LinkMatrix V2, which will provide a secure user-friendly interface to communicate and diagnose not only our cellular products, but our entire product portfolio. This will enable our service teams to remotely diagnose, manage and provide software updates to all Vislink customers. Going forward, we plan to continue targeted R&D investments, introducing incremental enhancements and major upgrades to sustain our competitive advantage. Among the noteworthy installations in Live Production area in Q3, we won several bids from news agencies for airborne downlink systems featuring the AeroLink transmitter. In these cases, our downlink systems will be used to deliver aerial coverage for breaking news and sports. This highlights how we are leveraging our expertise in supporting complex military and public safety missions to provide the broadcast and EMG market with high-quality video, reliable connectivity and seamless distribution across all broadcast and cloud platforms. We are also seeing exciting growth in the international markets for our Live Production solutions. During the quarter, we secured a bid for our bonded cellular transmission system to support live telecast of Mexico Supreme Court. Additionally, our bonded cellular solutions were deployed to cover the elections in the county of Georgia at the end of October. We also won a project to upgrade Malaysia's national broadcaster, enhancing live news and sports coverage. Overall, international quoting activity remains strong, and we expect continued robust contributions to our global revenues from non-North American markets. Our go-to-market strategy is continually evolving, yielding encouraging outcomes across our four primary focus areas: live video connectivity, video/data transport, AVDS and Drone C2. Progress in Drone C2 has been especially notable. While still an emerging sector, we anticipate a rapid expansion in the coming years, particularly related to border security, and a focus on American-made defense platforms. Our bonded cellular technology continues to be a cornerstone live video connectivity and video/data transport, providing reliable, high-quality video transmission for a wide range of applications. We are strengthening collaborations with key OEM partners to ensure our technology roadmap aligns with our evolving needs, further solidifying our leadership in meeting market demands. We look forward to engaging with companies in emerging technology fields, such as virtual and augmented reality and artificial intelligence, where our live video transmission technology can unlock new commercial applications and drive growth. Our collaboration with Focal Point VR on the A2RL: Abu Dhabi Autonomous Racing League, is a prime example of this and has earned several awards for its innovation. Looking ahead, we remain committed to our three-year strategy. Though we may adjust the timeline to reflect the evolving market landscape, we have recalibrated our cost structure to align with this extended timeframe. With strong ongoing demand for our trusted solutions, a shift toward high-margin service revenue and a continued focus on cost efficiency, we are confident in our ability to execute our strategy and achieve sustainable, profitable growth over the long term. We appreciate your continued support and confidence in Vislink. We look forward to keeping you updated on our progress in the coming quarters. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions] And today's first question comes from Brian Kinstlinger with Alliance Global Partners. Please proceed.
Brian Kinstlinger: Great. Thanks so much for taking my questions. I might have missed it, did you share the total pipeline? I guess, I was wondering if it's been impacted by some of your short-term challenges.
Mickey Miller: No, you didn't miss it, Brian. The pipeline is above where above we were last -- I think we shared at $48 million. We're around $50 million weighted pipeline right now. As we mentioned, half of that above 40% of MilGov opportunities, which we think is very positive given that traditionally was a less than 30% revenue source for us. So, we continue to see opportunities on the Live Production side as well. So, it's not that those are going down, it's just overall. We just saw some -- in this quarter, some softness on the Live Production side. And a lot of it had to do with a lot of customers were busy for a month-and-a-half in Paris with the Olympics.
Brian Kinstlinger: So, if we could start with MilGov business, in your prepared remarks, you mentioned it was lower than expected. You commented there was a MilGov order in the Middle East that was delayed. How big was this order? And what are your expectations based on discussions, as, at least, it doesn't appear the heightened tension in that area are ending any time soon?
Mickey Miller: Yeah. That's a good point. We had -- in August, we had a demonstration of the new technology that we're working with. And this is a customer, that particular opportunity you're talking about is a customer where we're the embedded incumbent source where they have over 200 rotary helicopters and fixed-wing as well as multiple receive sites to cover the entire country. In August, that was delayed. We're seeing signs that, that will pick up at the early part of next year to be able to do that demonstration and trial and proceeds with executing on that project. So, we're expecting about a six-month delay to that.
Brian Kinstlinger: Got it. And then, can you talk about the pipeline? You mentioned in MilGov about half. I think the goal was to eliminate shortfalls due to one order getting delayed, obviously. So, are there a dozen opportunities in there? Are there many more than that? I'm just trying to understand the diversification of the pipeline.
Mickey Miller: Yeah. Great question. Yeah, it's quite robust. Just to give you an example, in this past year alone, Baltimore -- we deployed Baltimore City, but just looking at history and then we'll talk about the future. We deployed Baltimore City, Baltimore County, the New Jersey State Police, we mentioned D.C. Metro on this call, we also got our first initial opportunity with Department of Homeland Security. So, we've got quite a track record of high-profile, very meaningful customer engagements that have resulted in success and we're building on that. And just most recently, we got to do order from the Danish MOD. And so, we're seeing pickup not only here in the U.S. with state and local, which has been a strong point for us, but through our acquisition of BMS, now we're having much greater exposure to Middle Eastern, European and Asian opportunities where they were incumbents. And that's where we're seeing the big opportunities that traditionally weren't part of the Vislink portfolio of customers.
Brian Kinstlinger: Okay. And the last one on MilGov. Can you quantify the percentage of revenue actually in the third quarter? I know you gave some rough numbers, and what it historically has been, but maybe a third quarter number might be helpful to understand the growth trajectory of the entire business?
Mike Bond: Brian, just proportionately, out of the $7 million, we did -- Live Production was $4.4 million and MilGov was $1.8 million, and then we had some service revenue in there for $700,000.
Brian Kinstlinger: Great. And then moving to live entertainment. Here we are five months after the Olympics. Are you starting to see a pickup? And is that more first half of the year and we'll see another sluggish fourth quarter? Just kind of maybe help with timing and expectations for investors.
Mickey Miller: Yeah. I think, Brian, we're seeing a pickup in quoting and purchasing activity. That's for sure. We had a good start to this quarter. But again, we expect some of this will be back-end loaded. So, we will have a sluggish fourth quarter. One of the reasons we took proactive restructuring activity. Just to point out on that, when you saw around margins, we had acquired BMS last year with that. We acquired the BMS production facility. And then, we also had two production facilities within Vislink. And so, now we're consolidating to a single facility that's going to allow us to obviously improve our conversion cost, improve our management of inventory. So, we expect to weather through this next quarter, but we're looking back to the kind of growth that we are looking at the beginning of the year in this quarter. We got a good start in October, November is looking good, and we hope to finish strong in December, but much of that will be for deliverables next year.
Brian Kinstlinger: Great. Last question, you started the answer to that, $6 million is a large number to cut of your business. Are you moving to one or two production facilities? And then, how much is that reduced footprint saving versus people or maybe anything else that you're doing?
Mickey Miller: Yeah, we're moving to one, and Mike can give you the detail.
Mike Bond: Yeah, we're taking out costs associated with two facilities, one we're downsizing, one we're taking out completely. Those costs are around $800,000, and they'll come out in the next -- I would say, the next quarter, in fourth quarter or first quarter of next year. And then, we're taking out a significant number of headcount. And just of that $6 million, the headcount alone is $3.7 million. And the majority of that is either notified and is leaving the business now or will leave in the fourth quarter with some remainder in the first quarter of next year, but the vast majority will be coming out at the end of the fourth quarter.
Brian Kinstlinger: Just doing the math here quickly. When you say $800,000 for the facility, is that per quarter, [and then] (ph) it adds up?
Mike Bond: That's total. That's an alleviation of rent, taxes, utilities, things like that, it's about $850,000. And then, we've got other expenses that we're cutting in the business. that will total out to probably another $1.1 million that will come out over time over the remainder of next year. There will be a ratable reduction in our run rate.
Brian Kinstlinger: Okay. Thanks so much. Good luck.
Mike Bond: Thanks.
Operator: [Operator Instructions] And at this time, we are showing no further questioners in the queue. And this does conclude our question-and-answer session. At this time, I would like to turn the conference back over to Mr. Mickey Miller for any closing remarks.
Mickey Miller: Thanks, Chris, and thank you, everyone, for joining us today. We look forward to continue to build this company and deliver those returns that you expect. So, thanks very much.
Operator: The conference has now concluded. Thank you for joining us today for Vislink's third quarter 2024 conference call, and you may now disconnect.